Operator: Good morning, ladies and gentlemen and welcome to Getty Realty’s Earnings Conference Call for the First Quarter 2023. This call is being recorded. After the presentation, there will be an opportunity to ask questions. Prior to the starting of the call, Joshua Dicker, Executive Vice President, General Counsel and Secretary of the Company, will read a Safe Harbor statement and provide information about non-GAAP financial measures. Please go ahead, Mr. Dicker.
Joshua Dicker: Thank you, operator. I would like to thank you all for joining us for Getty Realty’s first quarter earnings conference call. Yesterday afternoon, the company released its financial and operating results for the quarter ended March 31, 2023. The Form 8-K and earnings release are available in the Investor Relations section of our website @gettyrealty.com. Certain statements made in the course of this call are not based on historical information and may constitute forward-looking statements. These statements are based on management’s current expectations and beliefs and are subject to trends, events and uncertainties that could cause actual results to differ materially from those described in the forward-looking statements. Examples of forward-looking statements include our 2023 guidance and may also include statements made by management in their remarks and in response to questions, including regarding the company’s future company operations, future financial performance and the company’s acquisition or redevelopment plans and opportunities. We caution you that such statements reflect our best judgment based on factors currently known to us and that actual events or results could differ materially. I refer you to the company’s annual report on Form 10-K for the year ended December 31, 2022, and our subsequent filings made with the SEC for a more detailed discussion of the risks and other factors that could cause actual results to differ materially from those expressed or implied in any forward-looking statements made today. You should not place undue reliance on forward-looking statements, which reflect our view only as of the date hereof. The company undertakes no duty to update any forward-looking statements that may be made in the course of this call. Also, please refer to our earnings release for a discussion of our use of non-GAAP financial measures including our updated definition of adjusted funds from operations, or AFFO, and our reconciliation of those measures to net earnings. With that, let me turn the call over to Christopher Constant, our Chief Executive Officer.
Christopher Constant: Thank you, Josh. Good morning everyone, and welcome to our earnings call for the first quarter of 2023. Joining us on the call today are Mark Olear, our Chief Operating Officer and Brian Dickman, our Chief Financial Officer. I will lead off today's call by providing commentary on our financial results and investment activities for the first quarter and provide perspective on the company's positioning given the uncertain economic landscape. As usual, Mark will then take you through our portfolio and Brian will further discuss our financial results and guidance. We are pleased to report a 7.2% increase in our base rental income and a 7.7% increase in our AFFO per share versus the prior year's first quarter. This growth was driven by our robust investment activity and thoughtful capital markets execution over the past year, including during the first quarter, which is driving the increase in our 2023 outlook. Year-to-date, we have invested $73.4 million, including more than $60 million in the first quarter. I would note that the majority of our activity for the quarter was in the car wash sector. While we continue to pursue transactions across the broader convenience retail landscape, car washes are currently providing us with the most attractive investment opportunities along with additional diversification across geographies and tenants. Our success in the car wash space is a result of our targeted investment strategy, which leverages direct sourcing capabilities and underwriting expertise, to identify assets that meet our stringent acquisition criteria. As a reminder, we closed our first car wash transaction less than four years ago, and car washes now comprised more than 14% of our [indiscernible], even as we continue to invest in our core C-store space, we hope to see similar results in auto service and drive-through retail over the next few years as we continue to ramp-up our efforts in those areas. Our committed investment pipeline currently includes more than $105 million under contract for the acquisition and or development of convenience stores, automotive service centers, express auto car washes, and QSRs, which we expect to fund over the next approximately 12 months. Equally important, we continue to be proactive with our capital raising activities, including our successful overnight equity offering in February. With approximately $145 million of unsettled forward equity as of March 31st, our investment pipeline is fully funded with capital available for future deals. Our undrawn, revolver and conservative leverage also provide additional flexibility and access to capital. As we look ahead, our portfolio is well positioned to perform despite the economic headwinds that persisted throughout 2022 in which have continued this year. Convenience and automotive retailers have proven to be largely recession and e-commerce resistance, and our tenants are currently generating strong profits and maintaining healthy rent coverage ratios. In fact, most of our tenants are focused on expanding their businesses to meet consumer demand for essential goods and services. Our discipline strategy continues to emphasize owning high quality real estate in major metropolitan areas and partnering with growing regional and national operators, across the convenience and automotive retail sectors. We carefully underwrite each opportunity with a model that evaluates in ways a combination of real estate characteristics, site level operations, and tenant credit. We benefit from our sector expertise and the direct nature of our transactions, which often provides us with the ability to obtain detailed due diligence materials related to our tenant partners and their underlying properties. We also continue to benefit from investments we have made in our team over the last couple of years, which are driving an increasing set of transaction opportunities and ultimately closed deals for getting. As we move through the balance of 2023, our dedicated team is focused on the continued growth and diversification of our portfolio. We believe the strength of our balance sheet and our demonstrated access to capital will allow us to maintain this progression and create additional value for our shareholders. With that, I'll turn the call over to Mark to discuss our portfolio and investment activities.
Mark Olear: Thank you, Chris. As of at the end of the quarter, our lease portfolio included 1040 net lease properties and four active redevelopment sites. Excluding the active redevelopments occupancy was 99.7% and our weighted average lease term was 8.8 years. Our portfolio spans 39 states plus Washington DC with 64% of our annualized base rent coming from top 50 MSAs and 83% coming from top 100 MSAs. Our rents are well covered with a trailing 12 month tenant rent coverage ratio of 2.7 times. Turning to our investment activities, we had a strong start to the year as we invested more than $60 million for the first quarter. Highlights of this quarter's investments include the acquisition of eight car wash properties located in various markets across the US for $38.3 million. One convenience store located in Las Vegas for $5.4 million four under construction car wash properties for $8.5 million. As part of this acquisition, we agreed to provide additional funding during the construction period to complete these projects. We also advanced construction loans in the amount of $8.5 million, including accrued interest for the development of 13 new to industry car wash properties and convenience stores. As part of these funding transactions, we will accrue interest on our investments. They're the construction phase of the project and acquire the properties via sale lease back upon completion and final funding. For the first quarter, the aggregate initial cash yield on our investment activity was approximately 7.2%, and the weighted average lease term for acquired properties was 19.5 years. Subsequent, the quarter end, we invested an additional $12.7 million for the development and acquisition of PRI five properties located in various markets across the U.S. Looking ahead regarding the $105 million of commitments to fund acquisitions and developments that Chris referenced, we expect to fund these transactions throughout the next approximately 12 months at an average initial yield in the 7% area. It's noteworthy that this is greater than our 2022 levels, but slightly inside of where we deployed capital for the first quarter. Given the age of some of the transactions in the pipeline, we continue to evaluate and underwrite a variety of potential investment opportunities across our target asset classes. Cap rates for retail properties are moving about slowly and uneven at times as the market continues to adjust to the changing, changing economic landscape and tighter access to credit. We are pleased that we are sourcing the vast majority of opportunities through our board network. We believe we are well positioned to invest in creatively as we move through the remainder of 2023. Moving to our redevelopment platform during a quarter, we invested approximately $437,000 in projects, which are in various stages in our pipeline. We ended the quarter with four properties under active redevelopment and others in various stages of feasibility planning for potential recapture from our net lease portfolio. We expect rent to commence at these and other projects over the next couple of years, including several in 2023. Turning to our asset management activities for the first quarter, we sold three properties, realizing $2.8 million in gross proceeds and exited two lease properties. We will continue to pursue dispositions of non-core properties that we have determined are no longer competitive in their current format and do not have compelling redevelopment potential for which we believe have attractive evaluations that we may allow us to recycle capital as part of managing our balance sheet and sources of capital. With that, I'll turn the call over to Brian to discuss our financial results.
Brian Dickman: Thanks, Mark. Morning everyone, last night we reported AFFO per share of $0.56 for Q1 2023, representing an increase of 7.7% per $0.52 per share, we reported in Q1 2022. AFFO net income for the quarter were $0.50 and $0.28 per share respectively. Our total revenues were $43 million for the first quarter, representing a 9.4% increase over the prior year's first quarter base rental income, which excludes tenant reimbursements, GAAP revenue adjustments, and any additional rent through 7.2% to $38.8 million. Strong acquisition activity over the last 12 months and recurring rent escalators in our leases were the primary drivers of the increase with additional contribution from rent commencements at completed redevelopment projects. On the expense side, G&A costs were $6.3 million in the first quarter as compared to $5.1 million in the first quarter of 2022. The change in G&A for the quarter was largely due to $850,000 of non-recurring retirement expenses with the balance coming from increased personnel costs including non-cash stock-based compensation. Property costs for the first quarter were in line with reported amounts from the first quarter of 2022. Property operating expenses increased by $200,000, driven primarily by reimbursable real estate taxes, partially offset by lower rent expense. Leasing and redevelopment expenses declined by $150,000 due to reduced demolition costs for redevelopment projects. Environmental expenses, which are highly variable due to a number of estimates and non-cash adjustments were $300,000 in the quarter as compared to a credit of $100,000 in the first quarter of 2022. The increase was primarily due to changes in estimates related to environmental liabilities partially offset by lower accretion expense. Turning to the balance sheet in our capital markets activities, we ended the quarter with $675 million of total debt outstanding, which consisted entirely of senior unsecured notes with a weighted average interest rate of 3.9% and a weighted average maturity of 7.2 years. As of March 31st net debt, the EBITDA was 4.9 times and total debt to total capitalization was 30%, while total indebtedness to total asset value as calculated pursuance to our credit agreement was 36%. Taking into account unsettled forward equity of approximately $145 million net debt to EBITDA was 3.8 times. During the first quarter, we closed on our previously announced unsecured senior notes offering raising $125 million at 3.65% and maturing in January, 2033. We used the proceeds to repay in full $75 million of unsecured notes maturing in June of this year, and to reduce our amounts outstanding under our $300 million revolving credit facility. Our credit facility was undrawn a quarter end, and our near step maturity is in 2025. Moving to our ATM program during the quarter, we settled approximately $2.7 million shares of common stock that were subject to forward sale agreements for net proceeds of $83 million. We currently have approximately one million shares subject to forward sale agreements remaining under the ATM program, which upon settlement are anticipated to raise total gross proceeds of $32.2 million. In addition, in February, we completed a follow on public offering of $3.45 million shares of common stock in connection with forward sales agreements. Upon settlement, the offering is anticipated to raise total gross proceeds of $112.5 million. As of today, no shares from the offering have been settled by the company. Returning to our $105 million committed investment pipeline, as Chris mentioned, these transactions are fully funded through outstanding forward equity agreements, which also provide dry powder for additional investments, along with our undrawn revolver. Proforma for this investment in capital activity, we expect our balance sheets to remain well positioned to support continued growth. Leverage is expected to remain in line with our target range of four and a half times to five and a half times net debt to EBITDA, probably on the lower end of that range in the current environment, and we expect to maintain ample capacity under our revolving credit facility. As our investment pipeline evolves, we'll continue to evaluate all capital sources to ensure that we are funding transactions in an accretive manner while maintaining our investment grade profile. With respect to our environmental liability, we ended the quarter of $23 million, which was a reduction of $135,000 since the end of 2022. Our net environments over remediation spending in the first quarter was approximately $900,000. Finally, with respect to our 2023 outlook, as a result of our first quarter investment in capital markets activities, we are raising our 2023 AFFO guidance to a range of $2.22 to $2.24 per share from our previous range of $2.19 to $2.21. As a reminder, our outlook includes transaction and capital markets activities to date, but does not otherwise assume any potential acquisitions, dispositions or capital markets activities for the remainder of 2023. Specific factors which continue to impact our AFFO guidance include variability with respect to certain operating and deal pursuit costs and approximately $300,000 of anticipated demolition costs for redevelopment projects which run through property costs on our P&L. With that I'll ask the operator to open the call for questions.
Operator: Thank you, sir. We will now be conducting the question and answer session. [Operator instructions]. Our first question comes from Joseph [indiscernible] of Bank of American.
Farrell Grant: Hi, this is Farrell Grant speaking on the behalf of Joseph [indiscernible]. My question was from the for 4Q earnings call, there was highlighted that the investment plan would be that path needed for 2023. I'm curious if you can give some color on if you hold that expectation going forward.?
Brian Dickman: A apologies. The the volume was very low. Can you repeat the question? I think we can hear you now.
Farrell Grant: Yes. Sorry. Can you hear me?
Brian Dickman: Yes, much better, thank you.
Farrell Grant: Oh, great. Sorry about that. For the 4Q earnings call, it was highlighted that the investment spend would be back half weighted in 2023. I'm just curious about your expectations going forward, if you still hold that view?
Brian Dickman: This, this is Brian. Yeah, I think that's right. If you just look at the, the pipeline and in general our activity, it, it's, it consists of, you know, development funding transactions which have you know, typically nine to 15 months, but sometimes as long as 18, you know, months of a development timing over which we're deploying the capital. And then you have acquisitions regularly acquisition activity, which may be the, you know, two to two to four month timeframe from origination to closing. So as, as we sit at any point in time, our investment pipeline because of those dynamics is often weighted towards development funding, which is the case in this quarter as well. So we do continue that -- continue to suggest that that same type of deployment schedule a little bit you know, backend waited from the, the 12 month that, that Chris articulated earlier.
Operator: The next question comes from Russ [indiscernible] from Baird
Unidentified Analyst: Hey good morning guys. I want to go to the capital raise. Is this more of a function of a, a strong view of backfill in the pipeline or is it more a, a view of uncertainty on capital markets?
Brian Dickman: Hey, Russ, it's Brian again. You know, I want to say a little bit all the above, but I, I think it goes beyond that. I think when you just look at the full set of facts and circumstances, you look at our pipeline both the under contract pipeline that we disclose, as well as the visibility we have into opportunities beyond that, when you look at the cost of capital equity, capital, debt capital, and then to your last point, when you look at the, the macro environment and, and certainly, the uncertainty that exists out there we just felt it was prudent across the board to go and, and, you know, fully fund the pipeline for the year, de-risk the balance sheet over equities the balance sheet and put ourselves in a, a position to, you know, not just work through, but you know, hopefully thrive through, through any economic environment.
Unidentified Analyst: Got it. And then I, I guess maybe looking forward over the next maybe 12 to 24 months, do you see if, if rates were to stay higher the potential for maybe some owners to be, you know, cut, cut a little bit too much floating rate, too much leverage, maybe little of values go down, so maybe a a time to be opportunistic is, is it too soon for that?
Brian Dickman: I, I don't think it's too soon for that. I, I think what we're seeing is a lot of operators in the sector who maybe have not explored sale leaseback financing in the past are evaluating it. As you point out, there's maturities. There's maybe a higher percentage of floating rate debt given that you know, these folks are generally private operators as opposed to to large public companies. So I would say yes, and I think to go back to your original question on the capital raise you know, we take the balance sheets in great shape at Getty to be a position to be ready to finance attractive opportunities should they, should they come our way.
Unidentified Analyst: Fantastic. And then just one question on the severance can you maybe elaborate on what happened in the quarter? Yeah. Will this lead to a, a lower run rate going forward of Getty?
Brian Dickman: Yeah, so thanks Wes. Yeah, those are retirement costs. We, we had a director retire in the first quarter, and those are just related to that.
Operator: [Operator instructions] The next question comes from Mitch Germain of JMP Securities. Thank you.
Unidentified Analyst: Hi, good morning. This is Jody for me. Question on property mix. So we see that this store comprises a smaller share portion of the pie now, and of course, as you mentioned, car washes higher now, so is there an ideal property mix that you all are aiming for over the next couple of years?
Mark Olear: Yeah, I, I think that's a great question. You know, obviously the C-store business is the company's history. It still represents 70% of our abr. We still like the c store sector and are actively investing there, but certainly as we ramp up our efforts in carwash and auto service and drive through retail, naturally you'd expect to see our revenue become sort of more equally weighted across all the sectors. But just given the starting point I think sea stores will continue to be you know, certainly the, the largest piece of the pie for the foreseeable future. But again, I, I would just, as I said in my script, like, you know, this quarter happened to be car washes what we're still evaluating all of the sectors and, like the fundamentals and, and would hope to be able to invest across all the asset classes as we move through this year.
Unidentified Analyst: Right. so the acquisition that happened after the first quarter, and I think it's around $12 million or so, is that also focused on car wash properties?
Mark Olear: It's a, it's a mixture of a couple of different asset classes.
Unidentified Analyst: Okay, perfect. And thank you for that. Just one quick follow up. So has the competitive landscape also changed? Like, what is the bidding pool looking like right now?
Mark Olear: The, the, it remains competitive. I mean, there's a lot of in, there's a lot of interest as, as we keep saying that the, the asset classes are performing well. The essential and durable goods and services have proven out over the last few years. Our tenants and our both in our portfolio and targeting continue to have very strong performances. You know, so there's a lot of, there's a lot of activity interest in the, in the verticals that we are, are in our targeted asset classes. You know, pricing is moving a little bit as, as we mentioned, it's, it's and different verticals are moving at different paces. We experienced approximately, you know, if you look at last year's pricing in a, as a whole or maybe at the end of the year versus what we just announced, you know, maybe a 30 point basis point widening of pricing in our favor you know, we continue to, you know, press the market to, you know, to improve upon that as we have new dialogues across all the new opportunities we're evaluating.
Operator: Thank you. Ladies and gentlemen, with no further questions in the queue, we have reached the end of our question and answer session. I will now turn the call over to Mr. Christopher Constant for closing remark.
Christopher Constant: Great. Thank you Operator. And thank you all for joining us this morning. We look forward to getting back on with everyone. We report our second quarter earnings. And again, we appreciate your interest in realty.
Operator: Thank you very much, sir. Ladies, that does conclude today's teleconference. Thank you for your participation, and you may now disconnect your.